Operator: Good morning and welcome to the Clear Fourth Quarter 2021 Earnings Conference Call. We have with us Ms. Caryn Seidman-Becker, Co-Founder, Chairman and Chief Executive Officer and Ken Cornick, Co-Founder, President and Chief Financial Officer. Please be advised that today’s conference is being recorded. I would also like to remind you that today’s discussion will contain forward-looking statements relating to future events and expectations. You can find factors that could cause the company’s actual results to differ materially from these projections in our most recent SEC filings. In addition, we have included some non-GAAP financial measures in our discussion. Reconciliations to the most directly comparable GAAP financial measures can be found in today’s 8-K. With that, I will turn the call over to Caryn Seidman-Becker, Co-Founder, Chairman and Chief Executive Officer of Clear. Caryn?
Caryn Seidman-Becker: Thank you. Good morning and thank you for joining us. Earlier today, we released a shareholder letter, along with our 2021 fourth quarter and year end financials on our website. I hope you all have had an opportunity to review them. I will make some brief comments and then turn it over to Ken for some details on the financials. Clear’s mission has always been to make experiences safer and easier. For over a decade, we have powered frictionless and trusted journeys in the travel space by connecting you to all the things that make you, you. Pent-up demand and a return to normalcy in the wake of the Omicron variant, is leading to a surge in travel. We have been bullish on the rebound of the CLEAR Plus business as the passion for travel and exploration with a global secular trend before COVID and after months of lockdown, consumers are more eager than ever to experience the world. We saw this during the holiday travel season when we recorded our highest CLEAR Plus enrollment and usage numbers for any quarter ever. The World Travel and Tourism Council projects the sector will outpace pre-pandemic levels in 2022, up more than 6% since 2019. With our obsession for frictionless experiences, Clear is well positioned to make the return to the skies more seamless than ever. New products to extend the home to gate journey and drive enhanced predictability, traveler control and consumer choice are prized at Clear. Our mobile Home to Gate feature, expanding CLEAR Plus lanes, new reserve lanes and the upcoming launch of our pre-check enrollment services are great examples of the innovation and consistent enhancements travelers should expect to see from Clear. Additionally, adding WiLine to our portfolio and their virtual queuing technology extends our capabilities and helps enable our expansion, both domestically and internationally. Our Secure identity platform extends the Clear frictionless journey beyond travel, enabling safer and easier experiences both physically and digitally and turning Clear into a daily habit. The new convenience economy, where so much can be done at the push of a button, has now expanded to physical settings, whether it’s age verification at a Raiders games, virtually queuing at Banco Macro in Argentina or confirming professional licenses and certifications. This omnichannel demand from both consumers and partners is accelerating the Clear flywheel. From Day 1, Clear has always been committed to privacy done right and never has this been more important. It is embedded in the culture, processes and business model of our company. Privacy, protecting member data and security are at the center of everything we do and we have never wavered from that commitment. Clear’s opt-in and members are always in control of their information. None of this would be possible without our world class team. Together as owner operators, we are building for the long-term. We are proud of what we have accomplished in 2021 and off to a strong start this year. I would now like to turn the call over to Ken.
Ken Cornick: Thanks, Caryn. Good morning, everyone. Our financial performance was better than we expected driven by the growth in CLEAR Plus as well as on the platform side. Omicron had little impact on our CLEAR Plus performance in the quarter. In fact, we had a very strong finish to the year despite the case surge. As we have continued to communicate, our GAAP metrics tend to be a lagging indicator of the underlying strength of our business when we are growing. In 2021, while our bookings reaccelerated, our revenues lagged behind depressing our GAAP metrics. This is evident as the positive free cash flow reported for the quarter and fiscal year far exceeds the negative reported adjusted EBITDA by a wide margin. We generated significant free cash flow of $26 million in the fourth quarter and $42 million on a full year basis. 2021 marks the fourth consecutive year we have generated positive free cash flow and we fully expect 2022 to be the fifth. We have a powerful economic model, which was masked in 2021 as we normalize airport staffing towards pre-pandemic levels. The largest component of airport OpEx is cost of direct salaries and benefits. Direct salaries grew 140% in Q4 versus a depressed 2020 comparison. This does not reflect the true operating leverage inherent in the CLEAR Plus business. When compared to more normalized pre-COVID levels, we realized significant operating leverage. The 33 airports that were open for the entire fourth quarter of 2019 grew same-store bookings in excess of 50% in Q4 ‘21 versus Q4 ‘19, while total airport operating expenses grew around 15% in that same period despite wage inflation in 2020 and 2021. Verifications in those markets were down low single-digits, while enrollments were up over 50%. While timing of new airport launches will affect the quarterly cadence we expect growth in direct salaries to moderate in 2022, particularly in the back half when we anniversary the beginning of 2021’s travel recovery. I also want to touch on G&A. As a newly public company, year-over-year growth in G&A was elevated in the back half of 2021. Sequentially, on a cash basis, excluding stock comp and acquisition-related expenses of $1.4 million, G&A grew 16%. Two of the drivers of this growth are credit card fees and upfront enrollment expenses, which are directly attributable to bookings strength and member growth. In the non-variable portion of G&A, we had a number of elevated expenses in the quarter, including professional fees, which we expect to either decline or not recur. We expect Q1 2022 G&A to be flat to down sequentially from Q4 levels. Our cash and equivalents balance at 12/31 was $644 million. This reflects positive free cash flow generation and includes the all-cash acquisitions of WiLine and Atlas for a combined approximately $76 million. WiLine and Atlas will contribute to bookings and revenue on the platform side in 2022 and you should think about them as roughly breakeven on a cash basis. Before we go to Q&A, I will briefly touch on Q1 guidance. We expect GAAP revenues of $88 million to $89 million and total bookings of $103.5 million to $104.5 million, excluding any contribution from TSA PreCheck. We expect our operationally ready system to be reviewed in the coming weeks which would then initiate the launch timeline, setting us up for a launch in the next several months. Consistent with historical patterns, we expect Q1 revenue to represent the lowest revenue quarter of fiscal ‘22. As stated in the financial discussion in our release, we expect a moderating growth rate in expenses in 2022 and therefore expect margin expansion as well as meaningful free cash flow generation. Now, we will go to Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Dana Telsey with Telsey Advisory Group. Please proceed with your question.
Dana Telsey: Good morning, everyone. Nice to see the progress. Just on a macro basis, the impact of rising gasoline prices and thoughts on travel, anything that you are seeing there, and the reactivation of existing Clear members, where do you think you are on that journey to capturing them all back? How fast are they coming back and what are you seeing there? And just lastly, any pricing adjustments on the membership that you anticipate this year? Thank you.
Caryn Seidman-Becker: Thanks, Dana. So I’ll take the macro travel and win back question, and then I’ll turn pricing over to Ken. We are very bullish on travel have been and see very encouraging signs of travel returning from our own data as well as the companies that we’re looking at out there. So you’re seeing travel agents, hotel operators, restaurants, supporting spikes in demand, online booking companies, predicting that the summer 2022 will be the busiest travel season ever. Airlines, some of them saying they are approaching 100% recovery in leisure travel. And so we are not seeing any kind of slowdown in travel due to gas prices and things of that nature, probably also because we still have a low percentage share of total travel. We think that there is enormous opportunities for us as people are so focused on frictionless experiences, and I think they are coming back to travel with higher expectations than they left. And it’s more difficult to travel in a post-pandemic environment. And so I think Clear is more important than ever. So, inflation and rising gas prices do not temper our enthusiasm for travel. In terms of win backs, net retention does include win backs and I do think it speaks to the passion for the brand and the continued product market fit. People who left here during the pandemic, and there was absolutely more than normal are coming back to Clear, and a lot of this happens at the airport. So it’s a zero cost, 3.5 second win back experience. I still think that there is a ways to go, not only for people who left during the pandemic, but also as we grow our network and our use cases there is more reasons to come back to Clear for people who left pre-pandemic. And so I still think that we have a ways to go, but clearly, have done a good job of people coming back to Clear. But I can’t give you an exact number. I think it’s not only we have a ways to go in the pandemic number, but also in those who left before as we continue to expand our network and use cases.
Ken Cornick: And just quickly on pricing, Dana. As you know, we haven’t changed our standard price since launching with two airports in 2010. We do think we have pricing opportunities. We’re always looking at that. We did take price on family starting last – starting in July of last year from $50 to $60. And so we do think we have opportunities for pricing, nothing to announce at this point.
Dana Telsey: Got it. One follow-up. How is American Express going? Any progress support on the sign-ups and usage of what you’re seeing?
Caryn Seidman-Becker: So on a macro level, we absolutely love our partnership with American Express. There is obviously a large overlap with AmEx and Clear customers. In terms of exact penetration numbers, I think that question may be better as to AmEx. What I can say is that the lifetime value of an AmEx customer is equal to, if not greater than a customer who comes through our other channels, and certainly LTV to CAC is favorable. I think American Express is seeing their own growth in members. So not only, again, do you have a growing member base, but then growing penetration but off to a very strong start there – well, no longer really a start. We’re 9 months in. It continues to be strong.
Dana Telsey: Thank you.
Operator: Thank you. Our next question comes from the line of Paul Chung with JPMorgan. Please proceed with your question.
Paul Chung: Hi, thanks for taking my question. So just on net retention number, which is now above kind of pre-COVID levels, where do you expect retention to normalize? And how are you driving such high levels today? Very nice execution there.
Ken Cornick: As Caryn just mentioned, we do think that it speaks to the product market fit and the brand affinity. So we talk about the excess win back from excess churn from COVID. We do have a ways to go there. I think we’re not giving specific guidance on the number, but we do think that the net number settled in somewhere in the high 80s, probably.
Paul Chung: Okay. And then as we kind of think about the platform sign-ups beyond the pandemic and kind of use of maybe Health Pass engagement comes down a bit, can you expand on strategies to kind of drive further adoption on the platform? Any partnerships in the pipeline with large enterprises, maybe other credit card companies and any other verticals would be helpful? You mentioned the Raiders example, which was helpful. Thank you.
Caryn Seidman-Becker: Yes, so Health Pass is an important product in our platform, and it has been so important to introduce, right, new members to the brand as well as partners, and it has definitely helped make people’s experience safer and easier, communities come back better, getting people back to what they love and businesses opening as well. I think what that’s really done is help us be a trusted solution to partner. So you will see Health Pass evolve as Clear partners and add products and capabilities to continue to fuel the frictionless experience. We’re not going to announce products before they are readily available, but I think you can see that we are spending on innovation. And so things like Home to Gate and the Uber integration, right, that is the beginning of continuing to pull that experience from a travel perspective from the time you leave your house as opposed to when you show up at the airport. You’ll see more in that travel ribbon, sports and entertainment and events, connecting you to all the things that make you, you. We did Health Pass at CES this year, but you can imagine that there is a lot of other opportunities to connect you to different things that you were waiting in line for, or how to show physical or digital cards for at conferences and events. So you will continue to see that. I think what’s been really important, right, from a doubling of the member base and a continued growth and the ability to enroll in a mobile platform, is that it really allows us to innovate much faster to a much broader base.
Paul Chung: Great. Thank you.
Operator: Thank you. Our next question comes from the line of Michael Turrin with Wells Fargo Securities. Please proceed with your question.
Michael Turrin: Hi, there. Thanks. Good morning. The Q4 free cash flow number came in well above our estimates. Ken, is there anything you can add on just what’s driving the second half strength? And appreciating there are just some moving pieces with expenses near-term. Anything else you can say just on what kind of steady state free cash flow margin this business is capable of delivering as you scale?
Ken Cornick: Well, I think we’ve continued to emphasize the fact that the GAAP metrics understate the true strength of the business. And I think the operating cash flow and the free cash flow certainly are more representative of the quality of the business and the fundamentals that we’re seeing. So I think generally speaking, we’re driving for member growth, bookings and free cash flow. That’s how we view the business and judge the business. So I think we’re not going to give specific margin guidance on free cash flow, but it is a high-quality business with good free cash flow conversion, low-capital intensity. So, we are very pleased.
Caryn Seidman-Becker: I think I would just add to that, that I think part of the free cash flow is also starting to see the flywheel at work, right. So, we have multiple efficient channels to add members both physically and digitally. So, you don’t have to spend in marketing, the way other companies might when, again, you think of the cost per gross add and the lifetime value of a customer, I think that is a strong driver of free cash flow. And so the more we build our brand, the more use cases there are and the more capabilities on the platform. There is multiple ways for people to enroll.
Michael Turrin: And just a quick follow-up, if I may. On the Raiders partnership, is there anything you can add around the business model? Is there anything there where you are able to eventually capture something on either the payment side or somewhere else that can contribute to the model?
Caryn Seidman-Becker: We do believe transaction fees are an opportunity for Clear.
Michael Turrin: Thank you.
Operator: Thank you. Our next question comes from the line of Brian Essex with Goldman Sachs. Please proceed with your question.
Brian Essex: Great. Thank you very much for taking my question. I was wondering maybe if I could start with cumulative enrollments. Is there any way to get a sense of B2B versus B2C contribution in that number, at least for the incremental enrollments? And how are you thinking about booking seasonality through the rest of the year? I think the release noted that Q1 was a trough. Is Q1 also a trough for bookings as well? Just to get a sense of your expectations for the year.
Ken Cornick: Yes. So, just on the first question, look, we operate the business as a platform. And as you can see from the example on our letter, the businesses and the customer experience are very much interwoven. So, we are not breaking out the specific drivers within the cumulative enrollment number. And look, we are owner-operators. We have been making discrete investments in the platform for several years to perpetuate that flywheel that Caryn just mentioned. And you are beginning to see the fruits of those investments in member growth, bookings and free cash flow. So, we are not breaking those out. Your second question?
Brian Essex: Was on bookings seasonality, will Q1 be a trough as well, and how to anticipate the cadence of seasonality through the year?
Ken Cornick: Yes. So, we are not going to comment specifically on the bookings piece. We are going to leave it with the revenue being the lowest revenue quarter of the year.
Brian Essex: Got it. Maybe a quick follow-up on TSA, any sense of what milestones are left and the level of confidence that you have that would kind of materialize in the near-term?
Ken Cornick: Yes, I would say that our system is operationally ready. As we mentioned in the guidance, in the next few weeks, the review process will start, which will kick off the launch process. So, next few months, next several months is what we are seeing.
Caryn Seidman-Becker: I think everyone is involved – everyone involved is very motivated to bring this to the traveling public. And so we are working actively with TSA. We have a lot of confidence in our city – in our system and our operational readiness.
Brian Essex: Got it. That’s really helpful. Thanks a lot.
Operator: [Operator Instructions] Our next question comes from the line of Ananda Baruah with Loop Capital Holdings.
Ananda Baruah: Hi. Good morning guys. Thanks for taking the question. I guess just on structural, I guess ‘22 drivers for 2022, you guys last quarter, you talked about the key ones being structural travel growth was the obvious one. It sounds like you are seeing stronger than anticipated probably there. And then you talked about new airports, new customer acquisition, new products, etcetera. And Caryn, you actually mentioned international in your prepared remarks. And so – just would love to get a sense of how you see entering the year now on those key drivers for ‘22. And then Caryn, is there anything kind of incremental that we should be aware about on the international front? And that’s it for me. Thanks.
Caryn Seidman-Becker: Yes. So, I will start with the international piece. WiLine really accelerates our entry. It puts us squarely in Latin America and brings Clear to Brazil, Argentina and Mexico on the enterprise side or the B2B side. And so it is also creating opportunities to accelerate the conversations on the travel side and the airport side. So, we are excited on both sides of our business on both the aviation and on the platform side to have good international growth this year, granted, that’s off a base of zero. So, we are excited at international. We are very excited about Latin America. Not only do we have a team of engineers now, a great team in Argentina, so boots on the ground, partnerships and brands and products. So, we are very excited to bring it to both sides of our, what we call our dual growth engines. In terms of this year, I think you hit on a lot of it on the travel side. It is about network expansion, which you will see this year. It is about new products, which you will see this year. We do have a philosophy of not announcing the products before they are live. But if you haven’t downloaded the CLEAR App and used Home to Gate and ordered your Uber through it, it’s magical, and I encourage you to do it. And you will see we are working on new partners, not only – again, we think of travel more broadly, not only in the airport, but beyond the airport. On the platform side of the business, we have been investing for new products that will help fuel partnerships and use cases that you will see this year. So, again, metrics that we think are important to be judged on that we are judging ourselves on are member growth, bookings, free cash flow and then also watch for product announcements and partnership announcements.
Ananda Baruah: And do you feel you are on track for the key initiatives across that ecosystem that you just mentioned?
Caryn Seidman-Becker: We do, but I also have a philosophy of whatever we did yesterday isn’t good enough. So, I think we can always be doing better. But we are on track. I am looking for us to exceed every target that we have.
Ananda Baruah: Awesome. Thank you.
Operator: Thank you. This concludes our Q&A session and thus concludes our call today. We thank you for your interest and participation. You may now disconnect your lines.